Operator:
Ian Webber: Thank you very much. Good morning, everybody, and thank you for joining us. Hopefully you’ve been able to look at the earnings release that we issued earlier today also been able to access the slides that's accompany this call. The normal warnings Slides 1 and 2 remind you that call today may include forward-looking statements that are based on current expectations and assumptions and are by their very nature, inherently uncertain and outside the company’s control. Actual results may differ materially from these forward-looking statements due to many factors, including those described in the Safe Harbor section of the slide presentation. We also draw your attention to the Risk Factors section of our most recent Annual Report on Form 20-F, which is for 2015, and which was filed with the SEC in April this year. You can obtain this Form annual report via our websites or via the SEC’s. All of our statements today are qualified by these and other disclosures in our reports filed with the SEC. We do not undertake any duty to update forward-looking statements. For reconciliations of the non-GAAP financial measures to which we refer during this call to the most directly comparable measures calculated and presented in accordance with GAAP, you should refer to the earnings release that we issued this morning, which is also available on our website. As usual, I'll begin with a brief review of our results for the second quarter. Followed by an overview of our fleets, charter portfolio and our growth strategy. After that Tom Lister, our Chief Commercial Officer will provide an update on the market. And Susan Cook, our CFO will give financials highlights. Then after some brief concluding remarks from me, we would be as always be happy to take your questions. Turning to Slide 3, we once again generated stable, predictable earnings in the quarter without full fleets 18 vessels continuing to service long-term fixed rate time charter with strong counter parties. Revenue for the quarter was $41.3 million, with reported net income of $6 million, and normalized net income of $5.6 million. This excludes a gain which made on the purchase and subsequent cancellation of $4.2 million of our bonds. Normalized net income was up significantly at $5.6 million compared to the $2.9 million in the prior period. This increase is due mainly to the contribution for third OOCL vessels which we bought last autumn. And the eliminations of negative earnings from the two vessels, which we scraped last December last year and further from reduced operating costs where we have a particular focused just now. Adjusted EBITDA was just under $29 million at $28.8 million. As just said, we retired $4.2 million principal amounts of our 10% notes which we purchased in what is a very thin open market during the second quarter. And this debt reduction follows the purchase and cancellation of $26.7 million principal amount of notes in the first quarter under the tender offers which were requirements for the terms of our bond. Improved earnings and reduced outstanding net debt have lowered our net debt to last 12 months adjusted EBITDA from 4.0x at the end of 2015 through 3.8x as of June 30 this year. All things equal that ratio should continue to improve. Turning to Slide 4, the points that I'd like to emphasize here is the high degree of consistency and predictability in our results. As our long-term, fixed rate charters and high quality of operations yield consistently high cash flows from quarter-to-quarter and year-to-year. Given our business model historic variations in our results from quarter-to-quarter or year-to-year have been closely tied to our acquisition of the three vessels from OOCL on three years stay and lease back transaction since late 2014. The disposable of our two oldest vessels in late 2015. And the incidence of periodic which is essentially every five years for each special corresponding to the anniversary of that builds dates, periodic regulatory drydocking when vessels out of service and thus not earning revenues for approximately two weeks each time. In this second quarter 2016, we have three vessels in dry dock one of which was almost completed a hangover into July by couple of days. Those three ships between them accumulated 51 days the planned off hire. I am pleased to say that all of our charters continue perform and we remain fully insulated from the spot market through at least late 2017. As you can see in more detail on slide 5. This is our charter portfolio with 4.3 years of weighted average remaining contract coverage and as I mentioned zero exposure to the spot charter markets until at least late 2017. These contracts amount to just over $700 million of fully locked in revenue and as you can see our charter portfolio has staggered expires to ensure that we don't have excessive exposure to renewal at any one point in the cycle, noting that the charter for our larger ship which has the highest day rate for CMA CGM Thalassa, the charter that ship runs through to 2025. I'd also emphasize that most of our vessels coming off charter towards the end of 2017 are among our smallest and lowest earning charters. Turning to Slide 6, we've outlined our strategic vision of the company. This is consistent quarter-on-quarter. Moving forward, we continue to focus on growing our fleet of midsize and smaller vessels in a prudent, patience and opportunistic manner, maintaining our focus on immediately accretive, multiyear charters with high quality counterparties. And further diversifying our charter portfolio where possible adding new customers to our customer list. We also looked to identify opportunities to enhance our capital structure which is supported by our long-term contracted cash flows. As we have done in the past, we'll continue to actively manage our balance sheet by seeking to decrease our cost to capital, maintaining financial flexibility and de-leveraging on opportunistic basis. In addition, we'll continue to look to utilize our strong balance sheet, stable business model and proven access to capital along with our current immediately liquidity to seize attractively priced immediately accretive vessel acquisitions, particularly as the ongoing market downturn continues. With that, I'd now like to hand over to Tom Lister for some commentary on that market. 
Tom Lister: Thanks, Ian. Broadly speaking market trends have continued in line with those discussed on our Q1 earnings call albeit against the backdrop of heightened uncertainty in the wake of the UK's brexit referendum. A national regional and globally implications of which remain unclear. On July 19, the IMF released an update to its world economic outlook highlighting this uncertainty and downwardly adjusting growth forecast accordingly. So new term risks to global growth and trade remain waited for downside, underscoring the value of strong charter contract coverage. However, we expect industry fundamentals particularly for the smaller and mid sized ship segments upon which GSL has focused to improve in the medium term. So turning to Slide 7. Containerized trade growth in the first half of 2016 has remained weak with full-year growth forecasts below 4%. Fortunately, supply side growth is also down with 2016 growth forecast in the high 1s to mid 2s. The expectation demand growth will outgrow supply growth this year and potentially also in 2017 is certainly encouraging. However, it's important to note that the starting point is one of late in demand supply with idle capacity close to 5%. We'll come back to this later in the presentation. Meantime, the liner industry continues to face challenging times with an early peak season disappointing especially in the mainlane trade. However, as you can see from the chart of the bottom right of the slide, growth prospects in non mainlane trades which collectively represent around 70% global containerized trade volumes, the largest trade group being into Asia a better, although still somewhat lackluster. These non-mainlane trades are typically serviced by mid-size and smaller tonnage, the focus of our fleet. Slide 8, shows that the weak near term fundamentals of kept spot market charter rate under pressure. The right-hand chart illustrates spot rates for ship sizes captured by the various indices are at or around OpEx continuing the trend discussed on the previous earnings call. And just to remind you, it is really only medium sized and smaller ships, those no larger than 10,000 TEU that participate in the spot charter market. Larger ship rider on liner company's balance sheet in directly owned or subject to long-term financing type charters. As you would expect see from the left-hand chart, weakness in spot market earnings also puts pressure on prices for secondhand ships, although painful these weak near term fundamentals are helpful to the industry's medium term prospects, they catalyze increased scrapping. That brings us neatly to Slide 9 where you can see the scrapping activity is indeed on the rise. As of mid July, usually a period of seasonally higher utilization idle capacity stood at around 4.7%. Most of which about 85% by number of ships was lessor rather than liner company owned. This reflects stress the sector is under and despite scrap price volatility explains why at least 300,000 TEU was scrapped in the first half of 2016. This is more than 3x the volume sent to the breakers during the first half of 2015 and over 1.5x that for the whole of that year. We expect this momentum to continue and hopefully accelerate. All scrapping activities today has been focused on mid sized and smaller tonnage for which lessor ownership is disproportionately high, helping to tighten supply side prospects for these size segments growing forward. Slide 10 highlights the importance of mid-size smaller tonnage, which are the segments upon which Global Ship Lease is, continues to focus for the industry. The main chart shows the average ship size and maximum ship size deployed in the two dozen trade lane grouping, which constitute global container trade. The point here is that, mid-size and smaller ships, i.e., those 10,000 TEU or less, are key to most trade lanes, while the really big ships deploy in only a handful of trades, most notably Asia, Europe, and the Transpacific. At the end of 2015, between 1,500 and 1,600 ships, or approximately 30% of global fleet were deployed in a single trade grouping, Intra Asia. Of these 1,500 to 1,600 vessels, only 11 were larger than 5,200 TEU, while nearly 1,300, so more than 80% were smaller than 2,000 TEU. By the end of this year the impact on vessel deployment of the new Panama Canal locks which opened in late June will be clearer but we are already seeing some of old Panamax tonnage being displaced by vessels of 6.5 to 9,000 TEU. Slide 11, looks at how the global container fleet has evolved since 2000. One of the main takeaways from the slide is the orderbook-to- fleet ratio which is the red line cutting through the middle of the main chart which peaked today over 60% in 2007, and since fallen below 20% as the industry has recalibrated to a lower growth paradigm. Indeed, with new building contracting activity slowing further during 2016, the ratio at end June have fallen as low as 17.5%. More significantly for global ship lease as the smaller chart on the right side demonstrates, small and mid-size vessels are under represented in the orderbook with orderbook-to-fleet ratio for segments below 10,000 TEU in the 2.4% to 7.9% range. So to conclude this section, I'd like to underline the following points. One, the world in general in container shipping in particular faces significant challenges and uncertainties in the near-term. Two, in our industry, we believe the containership lessor with the significant near-term exposure to the spot market will face particular challenges, which in turn, we expect to drive increased scrapping, which is good and generate purchase opportunities, also good. Point three, pressure on liner companies themselves may generate attractive sales and lease back opportunities which are of particular interest to us. Four, limited new building investments in mid-size and smaller ship sizes, combined with accelerated scrapping, should tighten the supply of these vessel segments going forward. These factors together with the continued demand for such tonnage in the trade lanes representing around 70% of containerized trade, tending to show the most robust growth, suggest favorable prospects for mid-size and smaller ships in the medium-term. Five, since our Q1 call when we touched on liner consolidation and the emergence of the new mega alliances, CMA CGM is completed its acquisition of NOL. Hapag-Lloyd and UASC have announced their intent to merge. And the alliances have continued to take shape. We see these developments as positive for the industry as they should enhance stability and discipline over time. Finally, six, with our charter coverage, industry leading counterparties and continued focus upon mid-size and smaller tonnage, we believe Global Ship Lease is well-positioned to weather the challenges of the near-term and build value over the medium and long-term. With that I'll pass the call over to Susan Cook to run through the financials. 
Susan Cook: Thanks, Tom. Please turn to Slide 13, for a summary of our financial results for the three months ended June the 30, 2016. We generated revenue of $41.3 million during the second quarter, up $0.3 million from revenue of $41 million in the comparative 2015 period, as an increase level of off-hire from regulatory dry docking during the quarter and loss of revenue after the sale of our old vessels in late 2015, largely offset the increased revenues related to the vessel supplied from OOCL. With 51 days of standard time for scheduled drydocking and two days of unplanned off-hire, utilization was 96.8%. Our vessel operating expenses were $11.3 million, down 10.7% from the prior year period. Importantly, average costs per ownership day during the quarter of $6,909 was $418 less per day, or 5.7% lower than last year's second quarter, mostly due to low unit price reductions on lubricating oil, reduced insurances costs on renewals and from the timing of repairs and maintenance. Interest expense at $11.1 million was down $0.7 million on the interest in the comparative 2015 period. Primarily related to our purchase and cancellation of a portion of our outstanding 10% notes, with $4.2 million of notes purchased in the current quarter. And $26.7 million as a result of the tender offered in the previous quarter. We also recognized and associated gain on the purchase in the current quarter of $0.5 million. The next slide, Slide 14 shows the balance sheet, key items as of June the 30, 2016 include cash at $50.3 million, total assets $883.4 million, of which $828 million is vessel. Our total debt was $457.2 million, down by $35.5 million from the year end with net debt at $407 million. And shareholders equity of $407.5 million. The next slide, Slide 15 shows our cash flows. The main times to mention here, of net cash provided by operating activities at $27.2 million in the second quarter, and as previously mentioned the repurchase and cancellation of $4.2 million principal of notes at a discount. I'd now like to turn the call back to Ian for closing remarks. 
Ian Webber : Thank you, Susan. If you like to turn to Slide 16, I’ll briefly summarize and then we can move on to Q&A. Our internal fleet remains chartered to high quality counterparties through a t least late 2017, providing us with total insulation from the current market depression and ensuring that we continue to benefit from the stability and predictability of our long-term cash flows. We’ve got contracted revenues just over $700 million over a weighted average remaining duration of 4.3 years. Our consistent operational performance and long-term contracted cash flows position us well to seize attractive opportunities that exist in a depressed container shipping market for a vessel owner with a strong balance sheet and proven access to capital. We are willing and able to make investments at this point in the cycle, and as such we continue to engage in discussions with potential counterparties regarding future fleet growth opportunities. Having already added more than 35% to our run rate adjusted EBITDA through the three charter-attached vessel acquisitions from OOCL since we initiated our growth strategy. We will of course remain disciplined and pursue only those opportunities that meet our strict criteria and support long-term value creation for our shareholders. I'd also reiterate here that we are focused on immediately accretive charter-attached transactions and not distressed assets, either laid up or seeking employment in the spot charter market. We expect that the negative near-term prospects for such vessels will continue to contribute to higher than normal levels of vessels scrapping which in tandem with the low levels of new vessel ordering will help drive our industry towards balance. We'll also continue to pursue capital structure enhancements on opportunistic basis as we did by purchasing and subsequently canceling the $4.2 million of our outstanding notes in the second quarter. And which brought out help to bring our net debt to adjusted 12 months EBITDA on a trailing basis from 4x at the end of 2015 to 3.5x as of June 30 this year. We have no significant refinancing requirements until 2019. By following the strategy we've outlined here to which we being committed for some little while, we believe the Global Ship Lease is well positioned to seize opportunities in the current market environment to utilize our strong balance sheet, reputation as a high quality of vessel owner and our access to growth capital to create long-term value for our shareholders. With that, that concludes our prepared remarks. And we'll be happy to take your questions. So if I turn the call back to the operator. 
Operator: [Operator Instructions] And our first question comes from Phil Larson with Millstreet Capital. Your line is open.
Phil Larson: Hey, guys. Congrats on a solid quarter. I just wanted -- have you repurchased any notes subsequent to the end of the quarter? 
Ian Webber : Well, you have to wait and see when we report Q3. I'd say the market is very thin and also actually for the month of July we are in a close period. So it's actually fairly easy for me to say no, we haven't because to do so we would have broken our insider trading policy. 
Phil Larson: Fair enough. And then the other question I had I was wondering if you could give us a little more color on vessel acquisitions. Have you seen a lot of opportunities? Are you getting close on anything? 
Ian Webber : I'll turn the question over to Tom after couple of remarks. I mean we would never discuss or speculate on specific opportunities. We do have some active files that we are working on as we always do. But with that might be Tom could comment only on the quantum and type of opportunities that we are seeing.
Tom Lister: Sure. Certainly we are seeing in terms of prospective deal flow more activity in the second. I can give you a stat for the number of sales that we have actually seen takes place in the market during the first half of this year and onset to that is right about 74 ships have changed hands. And that's in addition to the sort of acceleration scrapping activity that we've seen. So we are seeing additional opportunities follow up, but to sort of reiterate remark Ian made during his prepared comments, we can afford to be -- we are highly selective and rather patient in making sure that we go after the right deals that meet our return criteria. 
Operator: Thank you. [Operator Instructions] Our next question comes from Mark Suarez with McQuilling Holding. Your line is open.
Mark Suarez: Good morning, guys. Thanks for taking my question here. Maybe we can start with the sort of have couple of micro questions here. Tom, I know you mentioned liner consolidation. We've seen a lot of financial distress lately. As you all know with some of the Korean, do you expect this trend to continue and do you see there are risk to have a cascading effect with some of it either larger liner companies? I know the CMA CGM is in very good position here but I am wondering outside of that. Do you see these risks as we go through 2016?
Ian Webber : Well, that's a huge question, Mark, which we can't answer other than in directory. Yes, you are right in passing we are pleased to have two quality liner majors as our customers and our charters as we say continue to perform. We have no areas on charter hire or anything like that very different to the Korean situation that you mentioned. The liner sector as parts of the ownership sector is under pressure, continuing pressure. However, the sector has got used to this environment and has been able to survive in large measure for the last eight years or however long it has been since the downturn. And many people's balance sheets are much stronger than they were. As they could got more prudent and perhaps little more disciplined in ordering of ships. And more controlled in the way that they are prepared to stretch their balance sheet to support further investments. Can we or anybody rule out causalities in the liner sector? Well, no. And what effect would that have on the industry; obviously, it is a disaster for the individual company concerned and its workforce. But it would introduce the potential for little more discipline perhaps particularly on vessel ordering. But in the near-term the ship is still there. So the capacity is still there. But you have seen over the last plus and years 20 years quite lot of consolidation on the ownership sector sorry in the liner sector, the operator sector which remains somewhat fragmented. Just broadening it slightly consolidation in the ownership sector, they historically hasn't been very much of that the advantage of doing so are less clear. And there would be some synergy saving on the operation side perhaps the biggest benefit from bigger is better only ownership side is access to capital. Maybe there will be some consolidation on that side of our industry as well. Well, we have to wait and see. 
Tom Lister: Mark, just to add Ian's comments, as the industry is under some pressure at the moment, one potentially positive outcome of that for companies such Global Ship Lease is that liner companies look to manage their fleet resources and their balance sheet and their liquidity needs and what comes out of that often is for example sale in lease backed transaction which are our bread and butter. 
Mark Suarez: Right. And so that was going to be sort of my second question that you laid in. Have you seen in fact get increasing --back inbound calls going to you guys or you can maybe explore those opportunities as you, and can you need to see those some of that balance sheet being in a little bit more pressure than in the past with some of these liner companies. 
Tom Lister: Well, I think as Ian has said we have various open files. And I wouldn't really want to add anything more to that at this stage. 
Mark Suarez: Okay. And then maybe specifically on your fleet. I've noticed obviously we talked about this in the past in terms of the geared between 2,000 and 3,000 vessels. I know that you are going to have four of those ships come up for renewal in 2017 third quarter, and I am wondering if you have a good view of what those vessels are good or not for in terms of weight for those particular route, I am guessing those vessels are imported into Asia. Is that correct? 
Ian Webber : No. They are not actually. But they are sort of East Africa some of them. To answer your question, we have got a reasonable idea about what these ships would earn in today's market. But they don't come open for another well over a year. And we wouldn't start or engage in a discussion with the charter in this case CMA CGM in the ordinary course until a few short weeks before the normal expiry of those charters. So and as Tom said and we've said before with modest orderbook with accelerated race of scrapping and with the general shortage particularly of geared vessels in the mid-size and smaller sector we would hope for an improvement in charter rates on today's level. 
Mark Suarez: Okay. And I guess my last question relates to your vessel operating expenses, it is actually come down to I guess over the past two quarters on a year-over-year, I am wondering is that a reason of our run rate to sort of assume as we go forward and on the SG&A, I also saw significant drop on that overhead cost and I am wondering that's also good run rate or you feel that that's going to bounce back as we move to the second half. 
Ian Webber: Yes. I said in my remarks that we are focusing extra effort. I mean we always led to control cost but we led specifically at operating costs, in a top operating environment you would expect our management team to do. And we've been able to realize savings on insurance renewals and which by and large we've been doing over the last half dozen years anyway. We've also save some money on crew costs by changing the mix of crews. And some of the reductions in operating cost is probably really tough, is very tough to tell down through the timing of repairs, auxiliary engines, generators for example. And then furthermore compared to last year we have disposed Orion and Aquarius to 4000 opti vessels which were relatively expensive to run because they were much older and slightly difficult ships to run. So there is a mix effect as well. Is today's level indicative of the rates going forward? I hope so. And I wouldn't be at all surprised if the rate notched up a little due to timing effect of major repairs or maintenance. But I think directionally we continue to strive to reduce those costs. On SG&A overhead which is relatively modest on a quarterly basis? It doesn't take much of change in level of activity. For example the incurrence of legal fees for whatever reasons whether it's aborted projects or whatever, up or down to change the relative cost from quarter-to-quarter which is running at I'll tell you $1.5 million and $1.7 million. 
Mark Suarez: Okay. Appreciate the color guys. Thanks for your time as always. 
Ian Webber : Yes. Going forward actually operating costs and overhead might benefit modestly from the brexit effect. Our revenue is all US dollars and we use those dollars to buy sterling and euros and for some crew costs and most or much of our overhead cost. Obviously with the stronger dollar relative to the pound and euro, it costs few dollars to buy those currencies and that's a near-term positive effect on our results. Pretty modest but worth observing. 
Operator: Thank you. I am showing no further questions at this time. I'd like to turn the call back to Mr. Ian Webber for any closing remarks. 